Andrew Mackenzie: Okay. Well welcome everybody to our 2015 interim results. I’m speaking in Melbourne at our global head office, and Peter Beaven, our new Chief Financial Officer, is joining us from London. Other members of our Group management committee are also here. But first let me point you to the disclaimer, and remind you of its importance. Our company is in great shape, underpinned by our unchanged strategy. We have the best quality assets and operating capability, a strong balance sheet, a deep understanding of the global market, and a portfolio of very high return growth projects, as well as a track record of outstanding cash returns to shareholders. This offering is unique in our sector. There is no better validation of the effectiveness of our strategy than the robust results we have delivered in the face of substantial volatility in commodity prices. Over the last six months we have further improved productivity, increased free cash flow, strengthened our balance sheet, and comfortably covered our progressive dividend commitment. In fact we started to prepare for a sustained period of lower prices almost three years ago, by increasing our focus on efficiency and lowering our investment. And since then our structured approach to productivity has delivered annualized gains of almost $10 billion, and we’ve reduced capital spending by almost 40% while preserving long term value. This push for productivity will continue, and with future gains harder to win, structural change will be a catalyst for further progress. Our proposed demerger will cut complexity and its associated cost in a single step, with no loss of the benefits of skill and diversity. It will prepare us better to react quickly and take advantage of ever increasing volatility. I’m deeply committed to increasing shareholder returns. So we do not plan to rebase our progressive dividend downward should the demerger be approved, implying a high payout ratio and any dividends from South32 will represent additional cash returns. Keeping our people and operations safe always comes first. So while we were encouraged by a further reduction in our total recordable injury frequency to just four for every million hours worked, recent events have sadly demonstrated that we can never rest on past performance. We were all deeply saddened by the tragic loss of two of our colleagues at our Worsley Alumina refinery and at Olympic Dam. This is a stark reminder that the health and safety of our team must always come first, always. For us this is far ahead of any commercial challenge. So extensive investigations are now underway to understand how these incidents occurred. We must continue to create an environment free from illness or injury so that everyone goes home safely every day. The first half of the 2015 financial year was characterized by declining prices for the majority of our key commodities. However our pursuit of sustainable productivity gains and a flexible approach to investment succeeded in a further increase in free cash flow, to $4.1 billion. Underlying EBIDTA decreased by 12% to $14.5 billion. Underlying attributable profit by 31% to $5.4 billion. We reduced capital and exploration expenditure by 23% to $6.4 billion. Return on capital was 11%. Our interim base dividend increased by 5% to $0.62 per share, and is covered by internal cash flow. Our solid A balance sheet continued to strengthen with net debt at the end of the period down to $24.9 billion. Cycles will remain an enduring feature of our industry, so our strategy, the quality of our portfolio and the strength of our balance sheet will make sure that we’re also perfectly positioned to capitalize on the expected price recovery for some of our key commodities. Before I say more about this, Peter is going to talk to you about our financial performance in some more detail. So welcome Peter.
Peter Beaven: Thank you Andrew. I’m pleased to be here in London to present our financial results for the December 2014 half year. Our ongoing focus on driving productivity throughout our organization has once again enabled us to deliver an excellent set of results. While our profits over this half year period have declined due to weaker commodity prices, we have maintained strong margins, we’ve lowered our capital spend, we’ve lowered net debt, we’ve increased free cash flow, and we’ve increased cash return to shareholders. So let me share some of the numbers that underpin this report card. Today there are four areas I'll cover. I'll start by presenting our usual EBIT waterfall chart for the Group, and for each business. I'll identify specific items included in our accounts to assist with your analysis. I'll show the progress on our productivity effort and disciplined approach to capital allocation. Critically and finally, how this has underpinned our strengthened balance sheet and increased return to shareholders. As we've done in the past, we've divided our EBIT waterfall chart into uncontrollable factors on the left and controllable factors on the right. From this chart it's clear that we've achieved very good results in the things that we control. In total these factors contributed $2.7 billion to underlying EBIT. However, the things that we don't control [indiscernible] weaker commodity prices alone reduced underlying EBIT by a considerable $6.1 billion. So putting this number into context, it's close to 50% of the underlying EBIT in the comparative period. Andrew is going to speak about the outlook for each of our key markets shortly. While inflation reduced underlying EBIT by a further $359 million, this was offset by a favorable exchange variance related to the strengthening of the U.S. dollar. I would like to point out however, that the majority of this exchange variance is based on an average U.S. dollar to Australian dollar exchange rate of $0.89. That's compared to $0.92 in the comparative period. So of course this is quite a way from where we are today. So onto the things that we do control the volume and the cost. A 9% rise in copper equivalent production increased underlying EBIT by $1.9 billion. We reduced controllable cash costs by $1.8 billion. Our productivity efforts are substantially improving the bottom line. Each of our businesses has contributed strongly, and there's more to come. An increase in non-cash charges reduced underlying EBIT by $938 million and it includes a number of items I will cover later in this presentation. Let me also remind you that we continue to generate a very strong margin, 32% at this point in the cycle. This is a tangible demonstration of the benefits of diversification, high quality, low cost assets and the impact of increased productivity. Now to each business in turn: Petroleum and potash contributed $2.1 billion to underlying EBIT, and margins remain high at 31%. While price weakness, particularly in relation to crude and condensate products, reduced underlying EBIT by $754 million record production, which included a 71% increase in onshore U.S. liquids, helped offset it. We continue to improve operating productivity in our petroleum business, with unit cash costs at onshore U.S. declining by 8% compared with the prior corresponding period. Our productivity efforts in production and cost have allowed us to maintain EBIT year-on-year, excluding non-cash items. We've continued to streamline the onshore U.S. portfolio, and we sold two non-core positions in this period. The increase in non-cash items was mainly due to impairment charges arising from these divestments. Capital productivity is a key driver of value for our shale business. We invested $1.9 billion at onshore U.S. and expect this to reduce to $1.5 billion in the second half of the financial year, as a result of a reduction in drilling activity. We'll progressively reduce our rig count by 40% to 16 rigs by the year end. But we're not just reducing overall activity. We're drilling and producing at lower cost. Black Hawk drilling costs have declined by 17% in this period, to $3.7 million per well. Drilling time has improved by 11% to 21 days per well. We're now one of the lowest cost producers in the field we operate, and improvements continue to be made. Now, copper. The contribution from our copper business was $2.2 billion, despite the impact of weaker metal prices. The strength of this business is clearly demonstrated by margins of 38% in this period. Like petroleum, productivity improvements largely offset the price fall in this period. Lower costs added $677 million to underlying EBIT. Lower grades, which were expected as part of the mine plans, were offset by improvement in throughput and recovery at the operations. Despite a first half which was affected by region-wide power outages, strikes and water supply shortages, Escondida reduced unit costs by 13%. A key driver of this reduction was the 14% improvement in truck utilization. Pampa Norte’s unit costs fell by more than 30% on the back of sharply improved recoveries and cost savings. Non-cash charges were higher, and they reflected a lower capitalization rate for deferred stripping at Escondida and Pampa Norte, again consistent with mine plans. Now, turning to iron ore. Our iron ore business contributed $4.2 billion to underlying EBIT, notwithstanding the 38% fall in average realized price. Margins remain outstanding at around 50%. Western Australian iron ore achieved another half yearly production record as the ramp up of Jimblebar continued, and productivity improvements were realized across all the mines. Growth volumes added $734 million to underlying EBIT, with productivity volumes delivering an additional benefit of $483 million. Sales volumes were also record, as our strategy of increasing the percentage of direct to ship ore unlocked further port capacity. During our site tour to the Pilbara in October last year, we outlined our plans to reduce unit cash costs to below $20 per tonne in the medium term. This assumed an average exchange rate of $0.91. We’re making exceptional progress in this regard, having reduced unit costs by 29% to below $21 per tonne this half. Moving on to coal. Once again, given the significant impact of lower prices, a $312 million improvement in volume and cost efficiencies was fundamental to maintaining a positive underlying EBIT. With regards to volume, Queensland coal and Illawarra coal both achieved record production during the half year, which underpinned the $65 million increase in underlying EBIT. Queensland coal’s unit cash costs declined a further 15% during the period to $71 per tonne. The operations benefited from increased equipment and wash-plant utilization, and a continued emphasis on labor, contractor and maintenance productivity. As you know, margins are low across the entire industry. Our focus on improvement has allowed all our coal operations to remain cash flow positive. Finally, let’s look at our aluminum, manganese and nickel business. This business delivered a significantly higher EBIT period on period, increasing by nearly 400% to $716 million. This strong result, while largely attributable to higher average realized prices for Alumina, aluminum and nickel; it was also supported by record production at a number of assets, and further productivity-related gain. Nickel West business transformation project is a great example of this, having helped restore its profitability and its free cash flow during the period. Let me now highlight our continued improvement in productivity. In November we committed to delivering a further $4 billion of annualized efficiencies by the end of the 2017 financial year. As we’ve seen, we made great progress towards this during the half. We expect to deliver in excess of $3 billion of productivity gains by the end of this financial year. So just to remind you, this will bring the total gain to almost $10 billion since we began our productivity journey back in 2012. Importantly, these are sustainable gains that will continue to deliver value every year. These outcomes are the result of the investments we’ve made over recent years, and the standard process, systems and structures in each of our assets. Strong fundamentals have allowed us to improve rapidly, but will also ensure we do not fall back in future years. The South32 demerger will support the critical impetus to drive the next wave of productivity benefit. Now I'll draw your attention to a few items included in our financial result for this period. Included in underlying EBIT are $325 million favorable revaluation of monetary items on the balance sheet, due to exchange rate movement and impairment charges of $361 million, of which $328 million relates to the divestment of non-core onshore U.S. acreage I mentioned previously. Included in underlying attributable profit is $174 million foreign exchange rate benefit within net financing costs, and that's offset by a $290 million unfavorable exchange rate impact on tax expense for the period. As previously highlighted, attributable profit for the period included two exceptional items. We recognized an impairment charge of $290 million after tax, in relation to Nickel West, following the conclusion of the strategic review of this asset. And lastly the repeal of the Minerals Resource Rent Tax in Australia took effect on 30 September, 2014, and as previously flagged, resulted in the de-recognition of the associated deferred tax asset. This had a negative $809 million impact on our profit line. While on taxation, I should also highlight that our adjusted effective tax rate, excluding the effect of exchange rate movement and exceptional items, was 31.3%. Let me now discuss how this all comes together in the balance sheet in free cash flow, and critically cash return to shareholders. While I have discussed the significant benefit our early focus on productivity has had on profitability, this chart clearly highlights the success we've also had in lowering capital expenditure. While we need less capital to execute the projects, the portfolio remains in intact and exceptionally high quality with an average rate of return in excess of 20% expected from our preferred development options. Our share of capital and exploration expenditure declined by a further 23% over the December 2014 half year to $6.4 billion, with further improvements in capital productivity and lower shale investments to come, we now expect capital expenditure of $12.6 billion in this financial year and $10.8 billion in the 2016 financial year. So in spite of the $6.1 billion reduction in EBIT from price alone in this half, we've actually delivered increased free cash flow. The $4.1 billion of free cash flow we generated during the period was $709 million or 21% higher than the corresponding period. It's our ability to exercise these levers in order to protect free cash flow in the face of weaker commodity prices and our strong balance sheet which underpins our commitment to our progressive dividend policy. Off this result, we continue to increase our cash return to shareholders. Our half yearly dividend will be US$0.62 per share, 5% higher than our previous interim dividend. [Audio Gap] an underlying pay-out ratio of 62%. Now, I would like to remind you that we do not plan to rebase our progressive dividend following the proposed demerger of South32. So in addition to this, South32 will also adopt its own dividend policy and any dividend it pays will represent yet a further increase in cash returns. Our balance sheet is strong. Net debt declined to $24.9 billion at period end and gearing reduced to 22.4%. Our A+ credit rating with stable outlook was recently reaffirmed by Standard and Poor's, and S&P noted our portfolio diversity and a flexible capital expenditure as two key strengths. We have many levers at our disposal, which provides strong support for maintaining our progressive dividend and our solid A balance sheet. You should expect us to continue to monitor conditions and exercise these levers as necessary to protect our position. And even as we do so, we will also continue to grow our business discipline, selective investment in our higher return de-bottlenecking projects and longer dated options. In conclusion, we delivered an excellent set of results. Despite significant fall in the prices of our key commodities over the last six months, we have strong margins. Free cash flow has increased and we have strengthened our balance sheet. We will continue to grow. We will remain disciplined. Shareholders can be confident that we will maintain our progressive dividend policy. Back to you, Andrew.
Andrew Mackenzie: Thank you, Peter. Let me now return to what we believe are some unique insights that we have into the world’s economies and the outlook for major commodities. Over the first half of the 2015 financial year, global economic growth eased slightly. China experienced a moderate slowdown, while other large emerging economies, notably Brazil and Russia, saw periods of contraction. Among the developed economies the United States and the United Kingdom, supported by expansionary monetary policies, saw solid growth. In contrast, as deflationary pressures increased, Europe loss some momentum and the April sales tax increase has hindered Japan’s recovery. So for the remainder of the calendar year, we expect strong growth in the United States, monetary policy easing in Europe and a lower oil price to drive a mild improvement in global economic activity. In China, we expect consumer demand will continue to assume a greater role in economic growth activity and ongoing, well-placed economic reforms will underpin most sustainable growth. Over the longer term, rising population, wealth creation and urbanization remain the primary drivers of commodities demand and the transition to consumption led growth in emerging economies is expected to provide particular support for industrial metals, energy and fertilizing. Notwithstanding this positive longer term outlook, strong supply growth, most notably in iron ore and petroleum, has led to weaker commodity prices in the current period. Chinese demand for iron ore was flat over the period and as low-cost seaborne supply continues to rise, increased imports displaced high cost domestic Chinese supply. Over the medium term, as new seaborne supply continues to exceed growth and demand, we expect iron ore prices to remain subdued. And longer term, the increased availability of scrap steel in China will impact peak iron demand and therefore for iron ore. These developments are consistent with the outlook that we have held and talked about for a number of years and it led us to step away from investing in major iron ore growth projects, such as the outer harbor development, and it’s shifted our focus to maximizing returns from our installed infrastructure and resources. In metallurgical coal, Chinese seaborne demand declined after an increase in domestic supply. Outside of China, the volumes removed from the market have been less than anticipated. But in the short term, a stronger U.S. dollar will benefit Australian supply margins and place further pressure on high cost North American suppliers. Longer term, increased Indian steel production will support growth and demand and China’s scarcity of high quality metallurgical coal will increase the market for BHP Billiton’s suite of superior products. Copper prices trended lower during the period, where an increased supply was compounded by concerns over Chinese demand. However, demand and supply fundamentals remain broadly balanced in the near term. In the 2015 calendar year, expenditure on the Chinese grid and U.S. housing construction are expected to rise. And with demand growth anticipated to continue over the longer term and supply depletion due to lower grade ores, a structural deficit is envisaged later in the decade. And in copper, a new development will continue to remain challenging. So a combined -- combination of the above, this will support higher long-run prices and provide robust margins for uncommon producers such as us. We will continue therefore to progress our suite of high quality Brownfield development options to provide our shareholders with the further exposure to the exciting outlook of copper. Crude oil prices fell dramatically over the period, as OPEC’s decision to maintain its production target, despite growth in U.S. supply led to a market surplus. An over-supply of crude oil is likely to persist throughout the 2015 calendar year, but with capital expenditure reduced, particularly in the U.S. shale sector, we are now seeing a slowdown in the rate of supply growth. Longer term, with new supply required to offset natural fuel decline, the outlook for a cyclical recovery in liquids prices is positive. And so this supports our recent decision to preserve the value of our onshore U.S. acreage, and I'm going to say more about this in a moment. The world in commodity prices has become, and will remain, more volatile. And our strategy, plans and actions all embrace this new paradigm and provide us with unrivaled flexibility to adapt. So we have reacted quickly to market volatility and strategically flexed various levers to maximize free cash flow. We took a leadership position with our productivity agenda, which has to date, as Peter said, delivered almost $10 billion of sustainable cost savings and volume efficiencies. And we're only partway through this journey. As we run our operations even more efficiently, we remain confident in our ability to continue this momentum forward and we have exercised supply discipline, where appropriate, by shutting in operations that were not cash positive. For example, in metallurgical coal we responded to their sustained lower prices and closed 7 million tonnes of high-cost Queensland coal capacity in 2012. And our investment plan going forward remains flexible. In our petroleum business, we've moved quickly to maximize value in a volatile pricing environment, and we'll reduce our operating rig count at onshore U.S. by 40%. This type of response exemplifies our value focused approach to the development of our tier-one shale resource base, and shows the flexibility that we have to respond to external market conditions. For example, in the event of a sustained oil price recovery, we are ready to increase onshore development fast. This combination of levers will continue to maximize free cash flow and underpin our enduring capital management framework of our solid A balance sheet, progressive base dividend, investment in high return [indiscernible] projects and excess cash returns to shareholders. In the first half of the 2015 financial year, we delivered production records at eight of our commodity operations across five commodities. And as a result, Group production increased, on a copper equivalent basis, by 9%. And the capabilities of our core business will carry our momentum forward. An unplanned outage at Olympic Dam will result in marginally lower copper volumes. All other businesses remain on track to meet production guidance. We're leading the industry in the pursuit of sustainable productivity gains and as a result, we're reducing unit costs faster than anticipated. At Western Australia iron ore, we reduced unit costs by 29% to under $21 per tonne and we're quickly advancing towards our objective of being the lowest all-in cost supplier to China. At Queensland coal, we reduced operating costs by 15% to $71 per tonne. And at Escondida, we lowered unit costs there by 13%, excluding treatment and refining charges, to $1.06 per pound. And lastly in our onshore U.S. business, unit costs declined by approximately 8%. These are outstanding results of our unrelenting focus on productivity and cost. We operate with a disciplined capital allocation framework and test all investment decisions against challenging criteria that include buying back our own shares. As we reduce spending, we've increased competition for capital and our teams have pushed to lower the capital intensity of our growth. So in the 2015 financial year, our capital and exploration expenditure will decline to $12.6 billion, and in the 2016 financial year to $10.8 billion. In aggregate, against original guidance, we have reduced planned capital expenditure in those two years by $5.4 billion. And importantly operating in this disciplined manner has preserved value. We have excellent security of tenure across our long-life diversified resource portfolio and this allows us to allocate capital when and to where it delivers the greatest value. For our preferred development options, we continue to project an average rate of return, as Peter said, in excess of 20%. Our longstanding capital management framework will continue to guide our priorities for cash flow and will pull even harder on the levers of improved operational performance and capital productivity. We're committed to maintaining a strong balance sheet and a solid A credit rating through the cycle. And we see this as a precondition to uphold our commitment to at least maintain our growth, our progressive base dividend, in every reporting period and to invest selectively in high return diversified opportunities again, through the cycle. I repeat, all development opportunities will continue to be tested against investment in our own shares, so this consistent and enduring capital management framework has transformed our continual improvement in operational performance and superior growth in shareholder returns. Our track record over the last decade is impressive and unmatched. Our progressive dividend was unbroken and increased at a compound annual growth rate of 16%. We returned $64 billion to shareholders including $21 billion in the form of buybacks. And as we look ahead, while this period of subdued commodity prices has limited excess cash generated, we remain committed to steadily increasing or at least maintaining our dividend per share. In fact, should the shareholders approve a demerger, we do not plan to rebase or lower the dividend. And this implies, all other things being equal, a higher payout ratio than the current 62%. The South32 assets are performing well and the proposed demerger remains a logical next step, which has the potential to unlock even more value than the alternatives, like maintaining today’s portfolio of selling non-core assets through trade sales. South32 will have its own bespoke strategy aimed at maximizing the potential of its quite different type of nonetheless high quality assets. And subject to final Board approval, we continue to expect all shareholder documentation to be released in March, which will include our BHP Billiton shareholder circular and a South32 listing documents. This will followed by a general meeting in May 2015 for BHP Billiton Limited and PLC shareholders both to vote on the demerger. Subject to shareholder approval, the new company would begin trading in the first half of the 2015 calendar year. This restructuring process is complex. However, once complete, we will deliver an incredible level of simplicity for our scale at a much more accelerated pace. We continue to believe that simplifying our portfolio to include fewer assets with a greater proportion of common characteristics is the right strategy to drive higher and higher levels of productivity. We will become a company which will be further differentiated from our minerals and energy peers. And we’ll operate just 12 very large upstream focused long-life core assets, yet be sufficiently diverse, resource long and option rich. This simple portfolio will cause us to focus even more on lifting operational performance with everyone liberated to do their jobs better, simpler and more productively each day. And we’ll be able to identify and deploy best practice a lot quicker. We will further delayer and streamline our organizational structure and right size functional support to reduce overhead costs. By concentrating our focus on our largest and most profitable assets we will deliver a step change improvement in BHP Billiton’s performance, and more value to our shareholders. So in the past six months, we’ve delivered productivity gains of $2.4 billion and continue to act proactively to reduce investment and still preserve long term value. Despite weaker prices, we’ve delivered more free cash flow, our solid A balance sheet continues to strengthen and our dividend commitment was covered by cash flow. We remain disciplined, selectively invest in high return growth options and maintain our progressive base dividend policy. And with the group divided into two distinct portfolios, management processes will be optimized for each group of similar assets to enable higher levels of performance in both entities than is possible if managed together. The building blocks of our strategy are correct, and shareholders should be confident that our company is in great shape. Thank you. So I would like to take questions. And we’re going to have them from the phone and Peter and I will obviously share the answering process and then, as well, we’ll obviously take them from here in Melbourne. So anybody like to start in Melbourne? A couple and then we’ll go to the phones.
Q - William Morgan : William Morgan, Intrinsic Investment Management.
Andrew Mackenzie : Hi, William.
William Morgan : Andrew, shareholders care very much about safety and it’s with great sadness we hear about the deaths of the staff, so please understand shareholders care about that. Just you talked about well-placed economic reforms and I saw the huge gains you’ve got in productivity and cost-out. With respect to Australia, if you were to divide potential productivity gains into modest, stretch and impossible, what quantum of further gains could we expect to gain if we could get modest reforms done?
Andrew Mackenzie : I’ve always said that I’m reluctant to give strong guidance too far forward, mainly because to your last point we can actually make the impossible possible, but we’d like to try that and then very much be judged by our track record. But I would just simply say that with what we plan on the demerger and what we’re still working on there is an awful lot more to come. Not just in Australia, but in Chile and in North America and everywhere we produce, and indeed through the whole supply chain that we administer globally. Hi, Craig.
Craig Sainsbury : Craig Sainsbury, Goldman Sachs. Two questions from me, one probably a little bit of a follow-on question on productivity and cost-out -- was it $10 billion since 2012 on productivity gains is a fantastic effort, $1 billion from 2015 through 2017. Is that conservatism, or is that just the fact that we're starting to get a bit more of a grind out in costs? So just a bit of view of why such a low figure going forward. And then second question. If I can paraphrase your economic outlook, pretty much all the commodities you talked through, short-term weakness, long-term positiveness, is how I read it. Yet we're in a phase where pulling back on CapEx, a lot of focus in the presentation on balance sheet, free cash flow dividends; there wasn't really any focus on any of your growth projects in terms of what's there. So given CapEx has come down, counter-cyclical investment, why cut CapEx now as hard as you are if you are of such a view that the economic long term is as well and as robust as you're putting in your slides? Just a bit of a view about counter-cyclical investments.
Andrew Mackenzie : Yes, okay. So Craig, first of all on the productivity projections, we've been pretty good I think at putting things out there during each reporting period. This is only the half year. I'd rather come back and answer your question when I talk to you at the full year, for now. Obviously with the demerger done our plan is more complete. As BHP Billiton, you can talk separately to South32; it may be possible to be a little bit more concrete than I'd like to be today. I think on are you foregoing growth CapEx, I mean -- just look at this for a moment at the FY16 CapEx. It's roughly $11 billion, okay? That $11 billion, $9 billion is dedicated to growth. Yes, we haven't spoken an awful lot about that. Only $2 billion is concerned with the maintenance of underlying plant and equipment and everything that you understand follows from that. The other $9 billion is growth, and let me just break it down roughly. $1 billion is exploration, that's a very long-term activity, predominantly petroleum liquids and a little bit of copper. And then we have if you like four sets of two, very crudely. So we've still got $2 billion, a bit more than that going into shale, predominantly into the Eagle Ford high return, greater than 20%, somewhat greater than 20%, even at these prices, projects going into shale. We have $2 billion going into projects that have been underway for a little while and some which may be underway for a bit longer, mainly in copper, things like OGP1 and the Escondida water system but also Jansen. Then we have $2 billion in a range of small projects, but all are about pushing growth and incrementing at very high productivity the supply from our core assets and that includes some very attractive infill drilling projects in our onshore business, even at these prices which have returned significantly greater than 20% going forward. Then finally, we are spending about $2 billion already, and thinking about that, in the many of the things that we're thinking about for the longer term. Now, some of its engineering studies and some of its getting going, so things like the further de-bottlenecking of the Port Hedland port and the concomitant expansion of Jimblebar so we can run everything up at -- in a consistent, sustainable and high productivity basis at 290 million tonnes per annum on a 100% basis. We have the North Colorado expansion, we're working on that. We have two projects at Spence, one a new approach to leaching which lifts recovery by about 14% and then the Hypogene which gives us 50 years more life based on that. We have Mad Dog 2, again a project that even at these oil prices still works pretty well for us and BP that we continue to work on. We had the early phases of Olympic Dam expansion and the heap leach trials. I've probably missed a couple, but the point is there's an awful lot of that going on. I think the other thing I would say is when you look relative to the earlier guidance when we had $15 billion for this year and $14 billion for next year. As Peter said -- I think the number's right -- the reduction is around $5.6 billion. Some of that reduction is about deferral principally of all opportunities, all liquid opportunities in the shale. And we're doing that because we think the price is going to be higher later and it's worth retaining those liquids to a point where we can get those 20 plus returns, and not now. But the remaining part of that compression, apart from about $0.6 billion on FX, is through capital efficiency. Because when you look at what we've achieved over the three years we've actually made our capital about 30% more efficient. And so as we go forward the attractiveness for us is can we actually sustainably grow this Company at what might be quite remarkably low levels of capital, but very much investing for the long term. So I think we are investing counter-cyclical and as we build real strength in our balance sheet through our productivity campaigns and so on we have potential to continue doing so, and look after the progressive dividend and [indiscernible]. I'll take one. Andrew, I'll take one from you and then we'll go to the phones.
Andrew Hines : Thanks, Andrew. It's Andrew Hines from CBA. Can you give us a bit of an update on the medium-term outlook on the U.S. onshore? You're cutting the CapEx back next year to $2.2 billion. Production guidance this year is unchanged, but when we were there 18 months or so ago I think the medium-term projections were cash flow breakeven in FY16 and then about 3 billion of free cash flow by the end of the decade. What are your expectations now over the next two or three years for that asset?
Andrew Mackenzie : Well, clearly it’s very volatile, both what we choose to invest and the prices and riding that volatility wave is very important to maximize value for shareholders, a little bit in the way I explained to Craig. When you were with us whenever it was, December 2013, of course that was at a time when we were going to invest $4 billion and project -- and we were using the forward strip to give the number that you’re talking about. We’ll come back in the June operation report and give more details as to what we think we’re going to invest going forward, but not much more to say now. But clearly with the huge gains that we’ve had in the productivity of the capital since then, probably about 30%, we can do quite a bit of that for less capital than we saw at that time. So that will help us a bit and let’s see where price comes out and then we’ll have a better instinct as to just where we will be relative to cash in FY16. But in the half-year just reported we have increased EBITDA from the shale by over 60% to 1.4 billion and we still project for this year year-on-year a 50% increase in liquids. So haven’t stopped and we have a lot of things that we can do in the meantime to promote cash generation in the shale business. So we’re going to have a question now from the phone.
Operator: Your first question comes from Paul Young from Deutsche Bank. Please ask your question.
Andrew Mackenzie : Hi, Paul.
Paul Young : Good morning, Andrew. Good evening, Peter. I have some questions on your U.S. onshore strategy. On my numbers of spot oil your Black Hawk wells are generating returns of less than 20%. So I’m curious as to why you’re continuing with completions in this field, unless you think the oil price will strengthen over the course of the year in line with the forward curve. That’s the first question. Then also your partner Devon, they’re 55% hedged in 2015 but you as operator remain unhedged. Are you reviewing this policy considering we all know that well economics are largely determined by the cash on the first 18 months? Thanks.
Andrew Mackenzie : Okay. I’m not sure about your calculation as to -- that’s a level of detail. But the possibility that you hint about, Paul, of actually drilling the well and not completing it, so effectively leaving the oil behind the pipe, and then being able to come in quickly at a later date when the price recovers and track and produce a lot of oil is certainly something that we are thinking about. Possibly, as we’re now seeing prices certainly for Brent close to 60 and WTI above 50, as something we have to evaluate. But it’s our belief going forward and looking at the prices at the moment that we are getting greater than 20% returns from the Eagle Ford developments. I think on the issue of hedging, no we’re not looking out for our policy. This company as unequivocal, as we said in our annual report that we buy spot and we sell spot and we leave it to you as investors to understand that profile and to hedge accordingly if you have a different view. We take it the same way in which we buy money as well, we do that spot. We have enough resilience in our portfolio we can do that, but actually when you have the conversation we’re having, Paul, of the extreme flexibility that we can demonstrate in our shale business. It would be great if we could have that in some of our businesses and we’re working towards that. It means that that’s our hedge and the sort of things that we’re talking about is what we as operators can do in order to ensure that we do the best we can in a volatile situation. But we’re not likely to get into bad financial hedges. Another question from the phone.
Operator: Your next question comes from Lyndon Fagan from JP Morgan. Please ask your question.
Andrew Mackenzie: Hi, Lyndon.
Lyndon Fagan : Good morning, Andrew. A couple from me. Firstly, just on iron ore costs, a great outcome there. I’m just wondering what changed between the site visit in October and the end of the year when you were guiding to 23 bucks a tonne for FY15? Obviously excluding the currency, just interested in, I guess, how those costs were achieved and any color on the strip ratio there? And I guess the next question is just on the U.S. onshore business in terms of the carrying value of those assets, how I guess you managed to avoid an impairment charge, what sort of oil prices did you run through to test that? Thanks.
Andrew Mackenzie : I’ll ask Peter to take the question on impairments and how we handle that. But if I just answer your question on iron ore, well, we had a visit from a bunch of people like you and maybe it inspired us to go further faster. I mean there is a lot of things that we continue to learn about how we can be more productive and we continue to surprise ourselves on the upside, but particularly by the response of people on the front lines as they step up and seek to do their jobs better each day and we think there is a more of that to come. I think there some details there that we might be able to show you in a little bit, away from this and just contact the guys in Investor Relations and they might fill in a little bit more. But what you’re seeing is true right across our company with people stepping up to high levels of performance. We are exceeding what we thought was possible in the short term and we intend to continue that track record. But Peter, maybe you can say something about the shale impairments or the lack of.
Peter Beaven : Thank you, Andrew. Like most ore companies I'm sure, we run a very structured process to -- every half year reporting period on carrying values and whether we do or we don't need any impairment. We ran the process exactly the same as we always would run up to this. There's a large number of assumptions that go into that impairment and carrying value evaluation process. And what I can say is at this point in time we've got very high quality assets, costs are coming down and we didn't see any need to make any impairments at this point in time.
Andrew Mackenzie : Okay. Another question from the phones?
Operator: Your next question comes from Glyn Lawcock from UBS. Please ask your question.
Andrew Mackenzie : Hi Glyn.
Glyn Lawcock : Good morning, Andrew. Look, Andrew, by your own admission you've talked about unit costs coming down faster than expected, and I guess we're seeing that across the industry with cost curves flattening. I'm just wondering if you could talk a little bit about -- I know you can't disclose assumptions but I'm just wondering where you see risks to some of your longer-term price assumptions, maybe to the upside and the downside. Just talk a little bit around the discussions you're having with the cost curves flattening -- yourself, and the industry is doing a great job, because obviously that goes to impairments which you've just talked about, but also investment as well. Thanks.
Andrew Mackenzie : Yes. I think we're leading the charge but it's certainly true that nobody is remaining static in what's possible. Yes, I guess what you're asking is what are our long-term views on some of the price decks going forward. Very quickly, as we -- when I take iron ore for example where I think the cost reduction imperative is even more extreme. I think we have a number of players in that market who unlike us have much less choice about where they might invest and I think have a desire to invest quite a lot more than is currently available and therefore to add significantly to the supply of low-cost direct ship iron ore. And I would say that is almost certainly going to push iron ore to the low side for a while. And then we'll have the issue, as I mentioned in my talk, about Chinese scrap. So that makes the cost imperative in iron ore and our determination to be the lowest cost supplier to China absolutely critical to continue the track record we're talking about today. I think in metallurgical coal we can perhaps be a little bit more optimistic to the upside. Partly because we have longer term the possibility of growing growth in demand from India, we don't have their own metallurgical coal, and huge pressure I think on North American suppliers who really can barely compete at the -- with a strong dollar and their inferior resources. And then for us, relative to the Chinese, we have the hard coking coal that you know is desired by some of the best modern, large blast furnaces and they're running out of that quality. So, a little bit of a risk to the upside there. Copper, I think we covered well in the talk and you understand that the challenges of making good for -- of the inevitable decline in copper is very hard. And we in particular have a wonderful suite of very secure growth projects that we think can drive us low down the cost curve as a consequence, but that may be aided and abetted by rising prices. I think finally petroleum, the more difficult one. Clearly there is a sense of almost a global glut of gas and so I would be fairly modest about my long-term views on gas. And oil is the most difficult one and one why I'm being a little bit less forthcoming in answering things. I mean obviously what we've seen is that OPEC have successfully transferred the role of swing producer to the higher-cost U.S. shale oil, but of course we have lower cost U.S. shale. That I think will be quite short-lived because we don't think U.S. shale oil is going to last for a very long time and obviously as that comes out then there will be further choices to be made. But it's an interesting world where in most of the markets we've operated it was never the low-cost producer that's the swing producer, even though some people suggest we should do that. I -- I think fairly strongly in The Australian this weekend as to why that's not a good idea for iron ore, it's not a good idea for coal, it's not a good idea for copper that -- it's not a very good idea for oil either. OPEC has figured that out. But I would particularly say that once the impact of shale oil is less strongly felt I think that will cause iron ore -- oil prices to rise up. By how much will really depend on the momentum of demand attrition that you have for energy driven by the desire to take out carbon and so on and so forth, and we'll be watching that hard. So probably a longer answer than you wanted, but it just gave me a chance to give you a view, give you our house views on price. Let's have a question now from Melbourne and then I'll come back to the floor -- the phones. Go ahead.
Ian Keys : Hello Andrew, Ian Keys at Morgan Stanley. I've just been reading recently about a new technology, high specific strength steel. It just appears to be a very low -- high strength product as it’s sort of described an alternative to titanium, but obviously with a lot of your products involved and especially those from South32. Have you thought about it or has anyone discussed it internally?
Andrew Mackenzie : Not that one specifically, Ian, but we look at the threats of substitution both ways, either increasing markets or reducing markets, all the time as part of the process that Peter referred to earlier when we look at our price protocols. And we always have a technology input to those things, so I’m absolutely certain that those sorts of considerations will be included in what we want to think about. Obviously we’re not in the titanium business; we sold that at the top of the cycle, so we’ll be looking as to whether or not that continues to benefits iron versus aluminum. So yes, we do that sort of stuff. Okay, let’s take some more questions from the phone.
Operator: Your next question comes from Paul McTaggart from Credit Suisse. Please ask your question.
Andrew Mackenzie : Hi, Paul.
Paul McTaggart : Hi. Look, a couple an easy question, Zamzama. Can you give us any sense of the scale of that sale process so that we should keep an eye out for the half? And just wanted to follow up you talked Andrew a little about --
Andrew Mackenzie : Paul, can I just ask maybe it was an easy question but it was hard to hear so --
Paul McTaggart : Sorry, Zamzama. Zamzama.
Andrew Mackenzie: If you just say it again, give us an idea of the scale of what was it?
Paul McTaggart : The sale proceeds from Zamzama.
Andrew Mackenzie : The Pakistan business.
Paul McTaggart : Yes, yes.
Andrew Mackenzie : But that sale has been done.
Paul McTaggart : So it went through on this half? Can you disclose the proceeds?
Andrew Mackenzie : No, no, we can’t and it didn’t go through in this half, sorry.
Paul McTaggart : Okay. All right. I just want to follow up, philosophically how do you contrast say shale in the U.S. where you’re happy to go slower on production and leave oil in the ground because it might have more value later. How do you contrast that with say met coal for example where clearly you’ve gone to drive down your costs and taken that slightly different approach, how do you think about the two and what are the key differences?
Andrew Mackenzie : The key difference is that the ability to stop and start capital is much easier in the oil business than it is in the coal business or in the shale business and therefore we stop capital clearly when we actually change our forward projection for price if we think it’s worth leaving the oil in the ground to a time when the price is higher. I think the second thing is that clearly although I think we have a little bit of optimism about the way in which we’re going to stretch the margin in coal to our productivity program and maybe a little bit more upside in price, we’re much more confident of a quicker recovery in oil price than we would be on coal price and that obviously affects some of our capital divisions. But once capital is installed, and remember everything in the shale business is capital including the completions that we talked earlier about with the other Paul, we maximize production. The only time we take production offline as we have done in coal is when the variable cost production exceeds if you like the price of the material that we’re producing. And that’s why we shut in those sorts of operations in met coal even though we’ve committed the capital. Is that helpful? Maybe. Okay, another question from the phones.
Operator: Your next question comes from Clarke Wilkins from Citi. Please ask your questions.
Andrew Mackenzie : Hi Clark
Clarke Wilkins : Hi Andrew. Just going back to the CapEx side and you sort of go for that breakdown which is great. When you look at -- what’s true stay in business capital for this business? You mentioned the $2 billion maintenance equipment number but when you consider some of the projects, you’ve got copper to offset grade decline and decline in petroleum, what’s the true stay in business CapEx number of that $11 billion versus what is really growth and production?
Andrew Mackenzie : Yes, we don’t have that number because we don’t look at it that way. We have no compulsion to maintain the level of production in copper or oil. So as far as we’re concerned any new project, whether it’s replacing declining production or adding to existing production, has to compete on a returns basis. So as far as we’re concerned all of those capital things are looked at in the same way. So the only capital that we say you’re compelled to spend is about -- or as you would say stay in business, is the maintenance capital, which we put at around 2 billion.
Clarke Wilkins : So I suppose you could turn it the other way then what -- the 11 billion or just under $11 billion, what level of production growth on a copper equivalent basis will that give you going forward?
Andrew Mackenzie : Well in the medium term, clearly this year we’re going to do 9%, but in the medium term with this level of investment, we expect to be able to grow production at around 5% per annum. Other questions from the phone?
Operator: Your next question comes from Jeremy Sussman from Clarkson Capital Markets. Please ask your question.
Andrew Mackenzie : Hi, Jeremy.
Jeremy Sussman : Yes, hello. Congrats on the solid results, thanks for taking my question.
Andrew Mackenzie : Thank you very much.
Jeremy Sussman : You noted in the release that 2015 copper guidance is under review but at the same time you gave a pretty precise expectation of what you expect Olympic Dam to be reduced by. So I’m just trying to get a sense, should we read anything into that in the sense of maybe you’re trying to offset that somewhere and if so maybe what can you -- I know it's not a big impact, but what can you do to mitigate some of the impact?
Andrew Mackenzie : Well, I mean current guidance, if I'm right, is 1.8 million tonnes and we've talked about the loss of 50,000 to 60,000 tonnes because of the Olympic Dam outage. Within the remaining, if you like whatever it is that 96%, 97% of that that we still are confident of, clearly there's a bit of opportunity there to continue to do a bit more and to make good some of the difficulties we have at Olympic Dam. We'll watch that and we'll obviously update you with our operations report for the third quarter. Another question on the phone?
Operator: Your next question comes from a caller from Morgan Stanley. Please ask your question.
Unidentified Analyst : Hi there, can you hear me?
Andrew Mackenzie : Yes, we can hear you. We didn't get --
Unidentified Analyst : Hi, I'm [indiscernible] at Morgan Stanley.
Andrew Mackenzie : I thought it was yes. Okay, go ahead.
Unidentified Analyst : Good evening. Yes, two questions, one on South32, obviously a good free cash flow again in the half about $900 million annualized. Is that the amount of savings that we should think about that BHP can generate after South32 leaves the Company to be able to plug the gap for your dividends? And secondly, I'm a bit surprised still by the 20% IRR and the fact that you still see most of your projects hitting that number. I mean copper has come down quite substantially, iron ore has come down quite substantially and as you said it will come down further. So has that portfolio now shrunk of 20% IRR projects or basically has the buffer totally disappeared, and are they on the cusp of that 20%?
Andrew Mackenzie : Well I mean yes; I mean obviously we continue to recalculate things in line with our new price protocols. That work is very much underway. I mean the only think I would add is that we are continuing through working the project that we have yet to really get into execution to improve their capital efficiency. So at a minimum that will compensate for some of the price declines if we believe that they're going to be sustained. And that's still something we'll think about and copper I would argue they're unlikely to be. And if not they may even drive returns even higher than the 20% number. That's the whole basis of how we force productivity in capital. What was your first question again I'm sorry? I was thinking too much. I didn't write it down.
Unidentified Analyst : $900 million of annualized free cash flow in the first half, obviously you're going to lose all of that so you'll have to plug that gap.
Andrew Mackenzie : Well, we're going to give a bit more guidance about some of the savings that are possible when we separate South32 in the circulars that are going to come out next month. I mean I would point out that as such things stand at the moment I mean I think there are a couple of things. First of all that the benefit the very, exceed the cost of doing this transaction as you would expect. But equally, both companies will be able to generate more productivity separate than they would together and in that sense they should prosper more as a result of that. The actual number and whether it transfers over, I mean without giving -- being trapped into some forward guidance all I would say to you is we're very confident that with the productivity that will continue within BHP Billiton, that that will allow us to maintain the progressive base dividend policy, and to invest in the high return growth projects that we have in studies and on this execution phase at the moment. Okay? Another question from the phone?
Operator: Your next question comes from Chris Drew from the Royal Bank of Canada. Please ask your question.
Andrew Mackenzie : Hi, Chris.
Chris Drew : Hi, thanks. Just a further point of clarification I guess on the FY16 CapEx guidance falling from $14 billion down to the $10.8 billion, you talked about 30% capital efficiency and a bit of a benefit from FX. So when we consider the volume growth implications of that cut, is the -- thinking that really outside the impact on petroleum no real change at all as a result of that fall in CapEx? And as a follow up to that, if the price environment does stay weak, as you're perhaps alluding to it in iron ore and oil, do you see much further flexibility at all in that FY16 CapEx figure or are we getting down to having done as much as we can now? Thanks.
Andrew Mackenzie : Look, there's infinite flexibility. I mean that's the benefit of having that. So if it's appropriate to do so then we can do that but I mean at this stage we're not planning to. I mean I think in going back to the qualities of those thinking, I think what you said about your own -- answer to your own question about absence or slight reduction that you might see say from -- in the near term of production than from some of the areas that we've reduced the drilling activity in then I think as a first assumption that's not a bad thing. Just as an example, I mean we spoke earlier with Paul Young about the possibility of delaying the completing of that well to cut capital further if we thought oil prices were lower and going lower still as an example. But there are other things we can do to increase the flexibility of that spend if we need to and we think it’s appropriate and is the right balance of absolutely looking after solid A and the progressive dividend and investing for the future. Another question from the phone?
Operator: Your next question comes from Peter O'Connor from Shaw Stockbroking. Please ask your question.
Peter O'Connor : Good morning Andrew.
Andrew Mackenzie : Hi Peter.
Peter O'Connor : Two questions. Firstly thoughts on capital management and how you would look to monetize your franking balance in Australia. I know it’s a very quirky Australian domestic issue, but are there thoughts on how you could use that growing balance? And my second question, looking at the second half of fiscal year ‘15 and thinking through the costs details that Peter gave us, looking at where the currency is trading today versus last half, diesel price today versus last half and just the general conditions in the Australian environment for labor, could you give me some granularity about where I should be thinking about those key drivers of the dollar the diesel price and the labor market et cetera, and how they’re reflected in costs in half 2015 please?
Andrew Mackenzie : I’m wondering if the second part of your question might be easier if you just get with some of our Investor Relations people to break it down like that. I mean I don’t, as you can appreciate, have all those numbers in my head and I’m not sure Peter does either. But I mean all these elements clearly are things that we’re working on. I think on the first one on the franking, maybe Peter might want to say something. But I do assure you we’re very conscious of our growing franking balance and we’re always open to ideas and ways in which we can actually share more of that with the shareholder. Peter, I don’t know if you want to add anything.
Peter Beaven : No, not very much. I mean I think just to, of course remind everybody that we’ve got a number of shareholders across the world who have different tax positions and so on, and we have an underlying need in the DLC to treat all shareholders equally. Having said that obviously we continue to listen up to all and generate all the ideas that we can, and at this point in time we’ve got nothing more to say but surely we keep thinking and looking at this very hard.
Andrew Mackenzie : Some of you may have seen that we’ve been quite fortunate in finding a new Head of Tax, Jane Michie, who many of you might know from Macquarie and will certainly be having this sitting at the top of her inbox when she arrives. One more question from the phone?
Operator: Your next question comes from Brendan Fitzpatrick from Morgan Stanley. Please ask your question.
Brendan Fitzpatrick : Thanks and good morning. It’s a balance sheet question. I was just looking at the current assets; the inventories have been steady, slightly increasing over the last couple of half year periods. Is there not some opportunity there to run down some inventories that we may not yet have seen come through?
Andrew Mackenzie : Well Peter is the king of the balance sheet so he will answer that question.
Peter Beaven : Yes, I think we’re very comfortable where our inventories are. We keep a very, very tight rein on those inventories. We have got a very good system [indiscernible] which covers all of our inventories at whatever stage of the value chain, and I think we’re very tight on where we are. As you say the movement has been quite minimal this half versus the last half. I’m not very surprised to see that. We also try not to build up buffers and stocks ahead of bottlenecks; we try and manage our value chains according to the most efficient approach. I think just the other thing just to mention is that we did see in fact a reduction in our payables for this half versus the previous half and that was in fact due to lower costs. So as we’ve driven more and more costs out of our business, so our payables fell in line with that. Additionally a large amount of provisions were reduced for employee benefits and so on, again in line with the impacts of productivity gains. So I think it’s just worth mentioning that. Again, very comfortable where we are on debtor days, very comfortable on payable days and very comfortable on inventory days. Having said all of that obviously it’s a very important thing for us to check every single day and we’ll continue to monitor these things very, very carefully.
Andrew Mackenzie : I mean just to add I mean despite that slight increase in working capital over the period for the reasons that Peter just described, some of which we expect to reverse of $1.4 billion, we still were able even with the higher -- the lower prices to increase free cash flow as a consequence of our strong delivery and productivity. Any questions here in Melbourne? Okay, well I think if there are no more questions I’ll probably just close now.
Andrew Mackenzie: I hope you’ve enjoyed these results. I’ll just say in summary, in the space of less than three years we’ve improved the efficiency of our operations investments by our estimate of around 30% and that’s why we’ve been able to secure this increase in free cash flow I just covered, despite the price falls, many of which we saw coming and therefore anticipated. And that’s why we’ve been able as a result to secure the progressive base dividend and continue to invest selectively in a large number of our long term growth projects from a really quite extensive suite. The next time we talk to you we’ll be, I think, talking to you about the demerger. It is absolutely on track and we believe this is a key enabler and differentiator that allow -- among many, that makes us a rather special company that will help us maintain the momentum of these efficiency gains by running both new companies even better and will be possible by keeping together, and therefore to continuing I think the track record announced with these set of results. Thank you very much. I look forward to talking to many of you in the coming week. Thank you.